Operator: Good day, ladies and gentlemen, and welcome to Syros Pharmaceuticals First Quarter 2018 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this call may be recorded. 
 I would now like to introduce your host for today's conference Ms. Naomi Aoki, Head of Corporate Communications. Ma'am, you may begin. 
Naomi Aoki: Thank you. This morning, we issued a press release with our First Quarter 2018 Financial Results, along with upcoming milestones and recent platform and pipeline highlights. This release is available on the investors and media section of Syros' website at www.syros.com. We will begin the call with prepared remarks by Dr. Nancy Simonian, Chief Executive Officer; Dr. David Roth, Chief Medical Officer; and Joe Ferra, Chief Financial Officer. Then we will open the call for questions. Eric Olson, our Chief Scientific Officer; and Jeremy Springhorn, our Chief Business Officer, are also on the call and will be available for Q&A. 
 Before we begin, I would like to remind everyone that statements we make on this conference call will include forward-looking statements. Actual events or results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the risk factors section of our annual report on Form 10-K, as updated in our most recent quarterly report on Form 10-Q and any other filings that we make with the SEC in the future. In addition, any forward-looking statements made on the call represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update or revise any forward-looking statements. 
 I would now like to turn the call over to Nancy. 
Nancy Simonian: Thanks, Naomi. Good morning, everyone, and welcome to Syros' first earning call. 
 Our vision for Syros is to build a great and enduring company that translates our leadership in gene control into medicines that provide a profound and durable benefit for patients with serious diseases. I'm confident that we are well on our way to achieving that vision, thanks to the promise of our clinical program, a robust preclinical and discovery pipeline, a powerful platform and our exceptional people and culture. Leveraging those assets, we continued to make great strides in the first quarter, positioning us for a potentially transformative year in 2018.
 Let me begin with a brief recap of our first quarter accomplishments before providing an update on our 2 clinical-stage assets, SY-1425 and 1365.
 In January, we entered into a collaboration with Incyte to discover and validate novel drug targets for myeloproliferative neoplasms, leveraging our platform to benefit patients with diseases beyond our current areas of focus. 
 In February, we completed a $46 million follow-on offering, fortifying our cash position to fund our planned operations into 2020 and to drive our 2 clinical-stage programs, 1425 and 1365, to key value inflection points. 
 In March, we announced the appointment of Joe Ferra as our Chief Financial Officer. As many of you know, Joe came to us from JMP Securities, where he was most recently the Managing Director and Co-Head of Health Care Investment Banking. I firmly believe that people are our greatest assets in building a successful company. And with Joe's addition, I am confident we have the right team and the right expertise to do just that.
 I would now like to provide a quick update on our clinical and preclinical programs before I ask David Roth, our Chief Medical Officer, to share his clinical perspective.
 1425 is our first-in-class selective RAR alpha agonist that is currently in a Phase II biomarker-directed combination trial in AML and MDS patients. The primary objective of the trial is to evaluate the safety and efficacy of 1425 in combination with either azacitidine or daratumumab in patients who are positive for the RARA and IRF8 biomarkers discovered via platform. And we plan to present initial clinical data on both combinations in Q4. 
 This morning, we also announced that we are adding a cohort of biomarker-negative AML patients to our 1425 trial to support the ongoing development of a commercial companion diagnostic.
 Turning to 1365, our first-in-class selective CDK7 inhibitor, we presented new preclinical data last month at AACR. The data showed that 1365 demonstrated potent antitumor activity in multiple models of heavily-pretreated ovarian cancer, providing strong support for the planned expansion of our Phase I trial into ovarian cancer as both a single agent and in combination. David will discuss the data in more detail, but I wanted to highlight the growing excitement around selective CDK7 inhibition as an important therapeutic approach for a range of cancers. 
 CDK inhibitors, specifically 4/6 and CDK7 inhibitor, were the subject of a major symposia at AACR. The energy was palpable and the attendance so high that an overflow room was required. 1365 is the most advanced selective CDK7 inhibitor in the clinic, and it was exciting to see growing recognition of this opportunity. 
 The dose escalation portion of the 1365 Phase I trial in advanced solid tumor patients is ongoing, and we are on track to present data from this portion of the trial in Q4. We also expect to open single-agent and combination expansion cohorts midyear in patients with ovarian and breast cancers. 
 In addition to our 2 clinical programs, we have 3 programs in preclinical development: an oral selective CDK7 inhibitor, a CDK12/13 inhibitor and an undisclosed macrophage target in immuno-oncology. We plan to select a new drug development candidate from our preclinical pipeline this year with the aim of filing an IND in 2019. 
 So as you can see, we are rapidly advancing toward our vision. Our leading gene control platform is focused on elucidating regulatory regions of the genome, to home in on which genes to control, in which cells, for which patients; and to discover and develop a new wave of drugs that can control the expression of those genes.
 In less than 5 years, our platform has generated multiple novel approaches aimed at treating disease, as exemplified by 2 first-in-class clinical-stage programs, 3 preclinical programs and 2 discovery programs in both cancer and sickle cell disease. I'm excited about the opportunities ahead to make a difference for patients. 
 I would now like to turn the call over to David to give a more comprehensive overview of 1425 and 1365. 
David Roth: Thanks, Nancy, and good morning to everybody on the call. I would like to begin this morning by discussing SY-1425. After a decade-long drought, there have been 4 new drug approvals in AML in the past year, with others in clinical development. Despite this rapidly-evolving landscape, there continues to be a significant need for safe and well-tolerated therapies that extend survival, improve quality of life and combine well with other agents. Nearly half of newly-diagnosed AML patients are unfit, by which we mean they are not suitable candidates for standard intensive chemotherapy.
 Relapsed and refractory AML patients progress quickly, and recently-approved targeted therapies address only limited subsets of AML patients. There have been no new drugs approved for higher-risk MDS since 2006, and the prognosis for these patients remains poor. AML and MDS are complex and heterogenous diseases that will require a broad arsenal of drugs to address various patient populations and disease subtypes. And it's increasingly clear that those drugs will need to be used in combination to attack the disease on multiple fronts.
 1425 represents a promising therapeutic approach for RARA and IFR8 biomarker-positive patients. It has broad combination potential, and we continue to see a significant opportunity for 1425 in AML and higher-risk MDS. 1425 has a unique mechanism of action, which counteracts the effect of high RARA and IFR8 expressions in these subsets of patients to promote myeloid differentiation. As we reported late last year, initial data from the Phase II trial showed that 1425 has encouraging clinical and biological activity as a single agent in biomarker-positive, relapsed or refractory AML and higher-risk MDS patients, supporting our combination strategy for 1425. 
 As a single agent in these difficult-to-treat AML and MDS patients, 43% of the evaluable patients had improved blood counts and/or reduced bone marrow blasts, and 57% had stable disease. There was strong evidence of myeloid differentiation, consistent with the underlying mechanism of action of 1425. And importantly, chronic daily dosing of 1425 as a single agent was generally well-tolerated, with the majority of adverse events being low-grade. Notably, 1425 has not demonstrated significant myelosuppressive activity, suggesting it would not have overlapping toxicities with other therapies that may be used with 1425 to treat AML and MDS.
 We were encouraged by the demonstration of single agent activity in this particularly sick relapsed AML and higher-risk MDS patient population, and we believe that together with 1425's tolerability profile, these data provide a strong rationale for evaluating 1425 as a combination agent. 
 We are focusing initially on the combinations with azacitidine and with daratumumab based on preclinical data showing significant tumor-killing activity of 1425 in combination with each of these agents. In preclinical models, 1425 combined with azacitidine resulted in deeper and more durable responses than either drug alone. 
 Additionally, from a mechanistic perspective, while 1425 primarily induces differentiation, when combined with azacitidine, we observed apoptotic cell death of leukemia cells. Our preclinical data also provide a strong mechanistic rationale for the combination with daratumumab, an anti-CD38 antibody approved in multiple myeloma.
 CD38 is one of the most strongly-induced genes in AML cells in response to 1425. And in preclinical studies, we saw that 1425 sensitizes AML cells to daratumumab, triggering immune-mediated tumor cell death. Notably, AML cells do not normally express high levels of CD38, so they wouldn't be expected to respond to an anti-CD38 targeted therapy. The clinical data from the single agent cohorts of our Phase II trial provide additional support for the ongoing development of the daratumumab combination with 85% of our patients who had evaluable bone marrow samples pre and posttreatment, showing an increase in CD38 expression after just 1 28-day cycle of treatment with 1425.
 Enrollment is ongoing now to assess 1425 in combination with azacitidine in biomarker-positive newly-diagnosed unfit AML patients as well as to assess 1425 in combination with daratumumab in biomarker-positive relapsed or refractory AML in higher-risk MDS patients. We expect to report initial clinical data from both of these biomarker-positive cohorts in the fourth quarter.
 In addition to assessing safety and efficacy in the combination pilot cohort with dara, we'll also be looking at quantifying the level of CD38 expression with an eye toward better understanding the level of CD38 that's needed to see clinical activity. 
 As Nancy mentioned at the outset of the call, we're now adding a biomarker-negative cohort of approximately 25 newly-diagnosed unfit AML patients, who will receive 1425 in combination with azacitidine. We believe having clinical data from both biomarker-positive and negative patients will be valuable in the development of a companion diagnostic for the 1425 program.
 I'd like now to turn to our second clinical candidate, SY-1365. I previously led the teams responsible for early clinical development of the CDK4/6 inhibitor, palbociclib, in breast cancer. And I can say now that I see a similar level of excitement and strong interest in our CDK7 inhibitor, SY-1365, as I saw back then. 
 CDK7 is a transcriptional kinase that acts as a master regulator of transcription and cell cycle progression. Many cancers are perpetually committed to the cell cycle, and many have also developed adaptations to successfully progress through the cell cycle despite having damaged DNA and genomes.
 By selectively and potently inhibiting CDK7, 1365 can overcome these adaptations at multiple points. Our preclinical studies show that 1365 preferentially kills cancer cells and lowers the expression of tumor-driving genes, including oncogenic transcription factors and anti-apoptotic proteins. And it has shown significant antitumor activity in preclinical models of a range of difficult-to-treat solid tumors and blood cancers.
 1365 is a selective and potent covalent inhibitor of CDK7. It's currently in a dose escalation portion of a Phase I trial in patients with advanced solid tumors, and we plan to open expansion cohorts mid-year that will evaluate 1365 in multiple populations with ovarian cancer and breast cancer as a single agent and in combination with standard-of-care therapies. 
 For ovarian cancer, we plan to evaluate single-agent 1365 in cohorts of ovarian cancer patients who are relapsed after multiple lines of prior treatment, and in patients with primary platinum refractory disease. We also plan to evaluate 1365 in combination with carboplatin in relapsed ovarian cancer patients considered sensitive to platinum. 
 For breast cancer, we're focused initially on patients with hormone receptor positive metastatic disease, who progressed after treatment with a CDK4/6 inhibitor plus an aromatase inhibitor and we'll evaluate 1365 in combination with fulvestrant. This clinical strategy follows preclinical testing, in which 1365 demonstrated significant anti-proliferative and pro-apoptotic activity in a range of models of ovarian and breast cancers as well as combination synergy, reflecting the broad potential of 1365 in these initial tumor indications.
 As Nancy mentioned, some of this 1365 preclinical data was newly presented at AACR last month. Together with researchers at the Dana-Farber Cancer Institute, we evaluated the antitumor activity of 1365 in ovarian PDX models developed from patients treated with multiple prior therapies, including standard-of-care platinum-based therapies and PARP inhibitors. In these studies, 1365 inhibited tumor growth in 10 of the 17 tested ovarian PDX models of treatment-relapsed disease and even led to complete regressions. Notably, these responses were observed irrespective of BRCA status or sensitivity to a PARP inhibitor. The data also showed that sensitivity to 1365 was associated with low expression of BCL-XL, which is a known apoptosis inhibitor; and RB1, a known tumor suppressor, pointing to potential biomarkers that may be predictive of response to 1365.
 We believe 1365 has potential across a number of cancers as both a single agent and in combination. We are focusing the initial expansion cohorts on advanced high-grade serous ovarian cancer and HR-positive metastatic breast cancer patients because of the strong preclinical data and the significant unmet need in these cancers.
 As you may know, about 70% of ovarian cancer patients have high-grade serous ovarian cancer, and most patients have advanced disease at initial diagnosis. Current standards of care include platinum-based chemotherapy, where the majority of patients, even those who initially respond, relapse within a year. 
 Regarding breast cancer, roughly 80% of new breast cancer patients diagnosed in the U.S. each year are hormone receptor-positive. Standard of care for metastatic HR-positive breast cancer now includes the CDK4/6 inhibitor plus an aromatase inhibitor. And despite treatment, about half of these patients progress within roughly 2 years. And second line hormone-based therapies have limited efficacy, underscoring the need for new therapies. 
 Again, we expect to present data from the dose escalation portion of the Phase I trial in the fourth quarter. As a reminder, the dose escalation phase of this trial is open to patients with advanced solid tumors of any histology, and the primary purpose is to establish the maximum tolerated dose and also to choose an appropriate dose and dosing schedule for the expansion phase of the trial. 
 In addition, we'll also be accessing safety, pharmacokinetics, pharmacodynamics and hopefully, proof of mechanism.
 I'd like to conclude my remarks by saying how truly excited I am about each of these programs. Both 1425 and 1365 have the potential to make a significant difference in the lives of many patients who are currently in dire need of better treatment options, and I look forward to keeping you updated on our progress.
 I'd like now to turn the call over to Joe Ferra, our Chief Financial Officer, to discuss our first quarter financials. 
Joseph Ferra: Thanks, David. As Nancy noted earlier in the call, Syros continues to operate from a position of financial strength. This will enable us to continue to fund investments in our clinical-stage portfolio, including the ongoing trials that David just reviewed, while further leveraging the potential of our preclinical pipeline and platform. Based on our current plans, we believe that our existing cash, cash equivalents and marketable securities will support our operating expenses and CapEx requirements into 2020. 
 Now I'd like to turn to our first quarter 2018 financial results. We ended the first quarter with $121.7 million in cash, cash equivalents and marketable securities. This compares with $72 million on December 31, 2017. This increase in cash reflects aggregate gross proceeds of approximately $46 million from our underwritten common stock offering in February; $1.4 million in proceeds from the private placement of stock to Incyte concurrent with that offering; and the $10 million upfront payment and $10 million purchase of Syros common stock in connection with our collaboration with incyte, which was announced in January. 
 We recognized $0.4 million of revenue from that collaboration with Incyte in the first quarter as compared to $1.1 million of revenue for the same period in 2017 from a research agreement with a multinational pharmaceutical company, which has now been completed.
 R&D expenses for the first quarter were $11.1 million compared to $9.6 million for the same period in 2017. This increase was primarily attributable to increased external R&D cost associated with our ongoing clinical trials.
 G&A expenses were $4.1 million for the first quarter compared to $3.1 million for the same period in 2017. This increase was primarily attributable to an increase in employee-related costs, including salary, benefits and stock-based compensation, as well as legal and professional fees associated with entering into the collaboration with Incyte.
 Finally, we reported a net loss for the first quarter of $14.5 million or $0.48 per share compared to a net loss of $11.5 million or $0.49 per share for the same period in 2017. 
 With that, I will turn the call over to the operator for questions. Thank you. 
Operator: [Operator Instructions] Our first question comes from Ted Tenthoff with Piper Jaffray. 
Edward Tenthoff: I had a question for 1365. As we start to look going into these expansion cohorts, what is going to constitute activity, in your mind, such that this is going to be an indication or an application where you will make the investment and pursue? 
Nancy Simonian: Ted, thanks for the question. So as you know, we -- the expansion phase involves multiple different cohorts of patients, different stages of their disease, some in combination and some in single agent. And we have sort of an idea for each of those cohorts, either based on what the combination alone does or if it's on a single agent, what we think is going to be sort of necessary to move it along. And we designed the trial to be very flexible, which would allow us to kind of go with where we think the data is most interesting, potentially expand there. We have the opportunity to add additional cohorts. So I think we're -- we have -- each one will have sort of a different hurdle. But we -- we're using that to really kind of guide which combinations or single-agent arms we want to move forward. 
Edward Tenthoff: Well, that makes sense, too, just in -- similar to just how the landscape is evolving to the flexibility will be important. So -- and when -- just remind me when we should expect data from the escalation portion. 
Nancy Simonian: So the data from the escalation portion, we plan to present in the fourth quarter, and we plan to start enrolling in the expansion phase midyear. 
Operator: Your next question comes from [ Kenneth Atkins ] with Cowen. 
Unknown Analyst: Just -- could you give us a bit more detail about the companion diagnostic tests you plan to develop for 1425? What type of tests will it be? And how will the additional biomarker-negative patients be helpful in developing that test? 
Nancy Simonian: Yes. So look, we have an ongoing relationship with -- for clinical lab tests that we're using to select patients in the ongoing trial. But then part of the ongoing development of the drug is obviously to develop a companion diagnostic, and so we really have a -- we're evaluating different companion diagnostic partners at this point in time. We really haven't said much more. But it's going to -- it's very important, and our plan is to developing the companion diagnostic in conjunction with our clinical plan. And as you know, it's pretty common in the development of a companion diagnostic to have the ability to evaluate both biomarker-negative and positive patients. So that's really the rationale for looking at some biomarker-negative patients for that companion diagnostic development. 
Unknown Analyst: Okay. That's helpful. And then also, in the data readout in Q4, will the biomarker-negative patients be included in that release? 
Nancy Simonian: I'm going to ask David to answer that. 
David Roth: Yes. So right now, we're just beginning to initiate the enrollment of those patients. We just announced that. So I wouldn't expect those types of patients to be in the fourth quarter. 
Nancy Simonian: And just to add to what David said, the primary objective of the trial has not changed at all. And that is really to evaluate 1425 in combination with azacitidine and daratumumab in the biomarker-positive patients, and that's what we're planning to present in the fourth quarter. 
Operator: Our next question comes from Leah Cann with Oppenheimer. 
Leah Cann: So on 1365 in breast cancer, is there a reason to believe that HER2 status would not matter? 
Nancy Simonian: Leah, I'm going to ask David to answer that question. 
David Roth: So right now, our data are focused on the hormone receptor-positive patients. And the opportunity that we have identified relates to the current approaches with the treatment standards, including the CDK4/6 inhibitors in HER2-negative patients. But we're continuing to explore the breadth of opportunity in breast cancer, and it may be early to say whether it does or doesn't matter. 
Nancy Simonian: Yes. I'll just add that we see these initial cohorts in HR-positive breast and ovarian cancer as sort of a foundation for 1365. But we believe that there's the opportunity for applications beyond this. So as David said, we're going to continue to evaluate 1365 in a broader set of tumors such as you described. 
Operator: [Operator Instructions] Our next question comes from [ Jody Moran with Roth Capital ]. 
Unknown Analyst: By the way, congratulations on the Incyte deal earlier in the quarter, which I think should not go unnoticed. So I have 2 questions, both about 1365. As this clinical program is moving along, are there genomic dependencies that you have gathered from preclinical work, which would then help you segment the population better, potentially preselect similarly to what you did with 1425? I know that you mentioned several potential expansion cohorts depending on, I think it was, platinum therapy, hormone therapy, but that sounds a little bit like clinical profiling, not necessarily genomic profiling like you did with 1425. So what can you tell us in that direction? 
Nancy Simonian: [ Jody ], thanks for your question. I'm going to turn it over to David because we presented some of these data at AACR and maybe he can describe a little bit more what we learned from that data and how we're using it. 
David Roth: Yes. Thank you, Nancy. So yes, [ Jody ], you may recall from AACR, if you had an opportunity, we had a poster that was largely focused on new data we generated in a range of ovarian cancer patients who have xenograft models as well as a bunch of celluline-based assays. And we were able to show that the opportunity for responses or sensitivity to the drug was strongly correlated with changes in the RB pathway as well as the apoptotic control pathway, in particular to BCL-XL. And so those are important clues to helping us understand future development of a patient selection strategy. And we certainly have several hypotheses that we're actively exploring in our ongoing Phase I trial right now. So I think that that's a foundation for the beginning of our effort there. 
Unknown Analyst: Got it. And another one on the same program. There is another CDK7 inhibitor, which I believe you know, in Phase I, originally from Cancer Research UK. Just extrapolating from preclinical data that you've seen, that you know from your program and that we've seen from theirs, are you able at this point to comment or extrapolate on potential differences as they might manifest in the clinic between these compounds just from what we know right now? 
Nancy Simonian: So [ Jody ], yes, we're obviously aware of other people developing CDK7 inhibitors. And I would just say -- and then we'd characterize them, and I think that we probably aren't going to comment on anything specifically related to the competition. But I would say that we remain very confident in terms of the profile of 1365 and the ability to treat a lot of really important cancers. And we haven't seen anything that is concerning to us in terms of our ability to be the leader in the space. 
Operator: At this time, I'm showing no further questions. I'd like to turn the call back over to Nancy Simonian for closing remarks. 
Nancy Simonian: Thank you. As I said at the start of the call, our vision for Syros is and has always been to build a great and enduring company that translates our leadership in gene control into a new wave of medicines that provide a profound and durable benefit for patients. The progress we have made toward that vision is a testament to the power of our platform, the promise of our programs and the quality of our people. 
 With key data readouts for our 2 clinical programs expected in the fourth quarter, 2018 has the potential to be a transformative year for Syros. We are excited about what's ahead and about making an impact in patients' lives. 
 With that, I will conclude the call and thank you for your continued support and interest. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.